Operator: Good day, ladies and gentlemen. And welcome to the Altisource Residential Fourth Quarter and Full Year 2013 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. (Operator Instructions). At this time, I would like to turn the call over to Ken Najour, CFO. Mr. Najour, you may begin.
Ken Najour: Thank you. Good morning, everyone, and thank you for joining in today. My name is Ken Najour and I am the Chief Financial Officer of Altisource Residential Corporation, which we refer to as Residential. Before we begin, I want to remind you that a slide presentation is available to accompany our remarks. To access the slides, please log on to our website at www.altisourceresi.com. These slides provide additional information investors may find useful. As indicated on slide one, our presentation may contain certain forward-looking statements pursuant to the Safe Harbor Provision of the Federal Securities Laws. These forward-looking statements may be identified by reference to a future period or by use of forward-looking terminology. They may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in the forward-looking statements. For an elaboration of the factors that may cause such a difference, please refer to the risk disclosure statement in today’s earnings release, as well as the company’s filings with the Securities and Exchange Commission, including our quarterly 2013 Form 10-Q’s and the 2013 Form-K we will file today. If you’d like to receive news releases, SEC filings and other materials via e-mail, please register on the Shareholders page of our website using the e-mail alerts button. As indicated on slide two, joining me for today’s presentation are Bill Erbey, Chairman of Residential; and Ashish Pandey, Chief Executive Officer of Residential. I would now like to turn the call over to Bill. Bill?
Bill Erbey: Thank you, Ken. Good morning, everyone, and thank you for joining us today. This earnings call marks Residential's first full year as a standalone public company. I'm pleased with the management team’s execution of our business plan and how that is translated into value creation for our shareholders. As we’ve previously highlighted, our business model was predicated upon our ability to; one, acquire single-family properties at attractive returns in markets that have balanced between supply and demand. Two managed properties in our rental portfolio effectively at a cost significantly below the industry and three raise capital at accretive pricing. During the year we successfully delivered on each of these critical aspects of our business model. As shown on slide three on the acquisition front, we acquired approximately 12,700 non-performing loans with $2.7 billion of underlying property value. For these loans we paid an average of 68% of the underlying property value. In total, we deployed $1.8 billion of capital. Looking forward to 2014, we believe that a continued large supply of NPLs in the market should allow us to grow our portfolio. As it relates to performance we’re meeting our targets for loan resolutions property renovation and leasing and Ashish will provide more detail on our progress during the fourth quarter of 2013. I am pleased with our capital raising activities. As shown on slide 4, since our separation from Altisource Portfolio Solutions which we referred to as Altisource we completed three accretive equity offerings raising a total of $1.1 billion and added $750 million in borrowing capacity. We’ve also obtained well known seasoned issuer or WKSI status as of January 1st. And so our financial results for 2013, for the full year we earned GAAP net income of $39.6 million or $1.61 per share and taxable income of $17.7 million. We paid quarterly dividends of $0.10 and $0.25 and today declared the catch-up dividend for our 2013 taxable income of an additional $0.08 per share resulting in total distributions of $17.7 million or approximately 100% of taxable income. Our business model also allows us to generate positive cash flow while building our rental portfolio. In our first full year of operations net cash flow exceeded our taxable income [attends] any dividend requirements by $4.9 million. Ashish and Ken will discuss this in more detail later. We believe that our NPL acquisition strategy will continue to give us access to properties and healthy markets nationwide at an attractive cost base as relative to the REO market. The discount we believe, we have achieved to-date through this strategy translates in the significant embedded value for our shareholders, not currently reflected in our financials, which we expect it will be realized as we resolve our loans. As you can see on slide 5, we estimate this value creation to be $6.20 per share. In 2013, we saw another milestone in our industry with the application of securitization financing to single family rental properties. We are excited about this development and we believe securitization of financing will have the material positive impact on the returns from our rental portfolio. As illustrated on slide 6, the change in leverage ratio and funding cost has a significant impact on the target returns of our rental portfolio. We believe that securitization funding will be available to us when our rental portfolio we see reaches the minimum size requirements of $200 million. Before I turn the call over to Ashish, I would also like to touch on our management fee structure. As you know, we pay AAMC a quarterly incentive management fee based on the level of distributable cash per share. Unlike most externally managed REITs we do not pay a management fee based on the amount of equity or market capitalization. We believe that this structure better aligns our interest with AAMC. It incentivizes the AAMC to clear equity and attractive opportunities; we are not incentivized to grow equity and assets at any cost. On slide 7, we illustrate the difference between our fee structure and the more common based management fee structure linked to market capitalization. In this example we paid more fees to AAMC under our structure relative to other structures only when our return on equity exceeds approximately 9%. AAMC’s fees are lower when our return on equity is less than 9% and lastly AAMC earns no fees when our shareholders are not earning any return. Ashish will provide more detail on cash generation and our investment activities during the quarter and year. And Ken will provide details on our financial performance. I will now turn the call over to Ashish. Ashish?
Ashish Pandey: Thank you, Bill. Good morning and thank you again for being on today’s call. I’ve planned to spend a few minutes discussing the non-performing loan pools for whichever bidding efforts were successful in the fourth quarter. I will also update you on the performance of our existing non-performing pools. In the fourth quarter, we agreed to acquire three pools representing approximately 7,650 first-lien mortgage loans having $2.1 billion of aggregate unpaid principal balance or UPB and $1.7 billion in aggregate market value of underlying properties. The details of these pools are as follows. In November 2013 we agreed to acquire a pool of approximately 6,500 mortgage loans with $1.92 billion of UPB and $1.54 billion in market value of underlying properties. We completed this propriety acquisition in two separate closings in December 2013 and January 2014 with the final composition being 5,625 loans with $1.64 billion in UPB and $1.32 billion in market value of underlying properties. In January 2014 we acquired 650 mortgage loans having $121 million of UPBs and $94 million in market value of underlying properties. In December 2013 we also agreed to acquire from HUD a portfolio of 164 mortgage loans with $19 million UPB and $18 million in market value of underlying properties. We completed the first closing of this transaction in January 2014 consisting of 66 loans with $7.3 million in UPB and $7 million in market value of underlying properties. We expect to consummate the remainder of this acquisition during the first quarter of 2014. The aggregate purchase price for these acquisitions was approximately 1 billion or approximately 68.6% of the aggregate market value of the underlying properties. As shown on slide eight, almost all the loans in these three tools were plus days delinquent or foreclosures on the acquisition cutoff date. The top two states by unpaid principal balance are California and Florida which collectively account for 48% of the loans in these three pools vacated by UPB. I’m pleased with the volume and quality of the non-performing loans that we acquired in our first year of operations. The scale of these acquisitions provides us with a robust platform to build our rental portfolio and we are on target to exceed our first year goal of acquiring loans that will eventually result in 5,000 rental properties. I’ll now spend a few minutes updating you on the performance of our NPL portfolio. Resolutions increased considerably in the first fourth quarter. Please turn to slide nine for performance highlights. As you can see, during the fourth quarter, we successfully resolved 288 loans 72 million in unpaid principal balance, which compares favorably with the 118 loans that we resolved in the third quarter of 2013. Of these loans, 151 loans were converted to REO, either through foreclosure or dividend yield. 38 loans were resolved via short fills and third party sales, resulting in proceeds of approximately 11 million, representing 98% of average BPO value. 54 loans were modified and rendered current. Our average current yield on these loans at our purchase price is 9.1%. 18 loans were refinanced at 93% of the BPO value of the underlying property, generating approximately $2.6 million in net proceeds. Eight loans were reinstated, i.e. the borrower made all delinquent payments. 19 loans were repaid in full by the respective borrowers. On the loans liquidated by us during the quarter, we realized a gain of 38% over the purchase price we paid for these loans. At the end of the fourth quarter, we also had 125 loans that were on trial modification plan. We are still in the early stages of building our rental portfolio. At the end of 2013, 14 of our properties were leased. On average, the properties were leased in 28 days of being on market. Renovations were complete on 11 properties and renovations were in progress on 18 properties. Overall, we are pleased with our resolution efforts and expect to continue to build on the momentum and resolving loans and converting them to rental properties. We expect the supply of NPLs in the market to remain robust in 2014. As shown on slide 10, we estimate that more than $40 billion of UPB will trade this year. We expect large money center banks and HUDs to contribute a significant proportion of this amount. In addition, we believe that GSCs are considering NPL portfolio sales starting this year. Any potential sales by the GSCs will be in addition to our $40 billion trading volume estimate. While it is difficult to estimate the amount of potential supply from the GSCs, we believe that it could be significant. Before I turn over the call to Ken, I would like to conceptually discuss the cash flow profile of our business model. As a REIT, our dividend distribution obligations are tied to our taxable income rather than our GAAP net income. Taxable income is figured primarily by material changes in the economic status of our loans, such as sales of the loan, modification of the loan from a non-performing status to a performing status or conversion of the loan to REO. By contrast, any accretion of the market discount which is included in our GAAP income is not included in our taxable income and as such does not require distribution. We expect that up to 50% of the loans we acquire will be resolved through loan modifications or foreclosure and REO disposition. As shown on slide 11, we expect to convert our taxable gains on REO dispositions and loan modifications within a short period of time to cash gains. Our taxable gains on the remaining loans that we expect to convert to rental properties can be funded through a higher advance rate on the increased value when a property becomes rented. On slide 12, we illustrate the cash flow mechanics for a loan that eventually becomes a rental property. Using numbers from our previous examples of NPL acquisitions, we assume that we acquire an NPL with underlying property value of $150,000 for $99,000 and that we fund the purchase with 40% equity and 60% debt. After incurring NPL management expenses of $14,000 and interest cost of $3,000, our total investment would be $115,000. Upon conversion of NPL to REO, we recognized the taxable gain equal to the difference between 100% of market value and our tax basis for $34,000. Since the loan turned into REO, we’re able to one, increase leverage from 60% to 65% and two, borrow against the new borrowing base which has changed from the non-performing loan purchase price to the property value as foreclosure is complete. The increased debt available to us in this example is an additional $39,000, an amount that is more than adequate to cover the tax gain of $34,000. The additional leverage of $39,000 is based on very conservative estimate and does not consider significant upside available from potential securitization financing of rental properties that Bill mentioned earlier. Ken will provide more details on our cash flow for 2013. But I want to mention that in our first full year of operations, our cash flow exceeded our taxable income by $4.9 million, demonstrating the earnings power of our business model and our ability to pay dividends out of cash flow. Our cash flow from operations includes approximately $10 million of net cash gains on loan liquidations and $6 million of principal and interest payment received from borrowers. In certain instances, the application of fair value accounting under GAAP creates confusion, and our actual cash realization is reported as unrealized gains on our income statement. Under GAAP accounting, any cash collection of principal and interest on a disperse loan is recognized as a reduction in the basis of the loan. Since the connection of interest from borrower will not result in reduction of the fair value of loan, a significant proportion of $6 million is reflected as an unrealized gain in our income statement, even though this is realized cash collected from the borrowers and demonstrates the success of our modification and restatement efforts. I would now like to turn the call over to Ken. Ken?
Ken Najour: Thank you, Ashish. Today I will provide more detail on our financial performance for the fourth quarter of 2013 and a full year of operations, review our full year taxable income and discuss our liquidity and funding position. As you can see on slide 13, we reported net income of $21.6 million for the fourth quarter versus $13.7 million for the third quarter of 2013, reflecting a 58% increase quarter-over-quarter. Earnings per share for the fourth quarter were $0.50 per share. Our book value at the end of 2013 was $18.57 per share and after the acquisition of our January equity offering -- after the completion of our January equity offering $23.10 per share. Also for the first full year of operations, we reported net income of $39.6 million or $1.61 per share. Total investment gains for the year are $71.6 million, and total expenses of $32.7 million. Full year earnings per share are based on weighted average shares outstanding of 24.6 million. We recorded total net investment gains for the fourth quarter of $41.6 million. During the quarter, we recorded $20.3 million of expenses and $6 million of expenses in the third quarter. Expenses during the quarter include the following four items. One, $6.6 million of servicing cost which include approximately $1.7 million of contractual servicing fees payable to Ocwen, and $4.9 million of reimbursement of servicing advances made by Ocwen on our behalf to cover insurance and other expenses; two, $4.8 million of incentive fee to AAMC; three, $2 million of reimbursable expenses to AAMC; and four, $2 million of due diligence cost related to the acquisitions. Residential was organized and operated in a manner intended to qualify as a REIT. Quarterly dividends are intended to satisfy the requirement that a REIT must distribute at least 90% of its annual taxable income to stockholders. As you can see on slides 14 and 15, residential taxable income was $17.7 million for the full year of 2013 and $11.3 million for the fourth quarter. In our first full year of operations, our net cash flow exceeded taxable income by $4.9 million which adequately covers the distributions we have to make as a REIT. As you can see on slide 16, for the year-ended December 31, 2013, we generated $47.2 million of cash flow from loan dispositions and payments and used a total of $22.6 million in operations and an estimated $2 million for property renovations, which provided us the net cash flow of $23.6 million. Residential taxable income for 2013 is $17.7 million. The remaining cash flow of $4.9 million is available for general business purposes. In summary, we generated cash in excess of our distribution requirements during the year. In the fourth quarter, we increased the funding available under our repurchase facilities to $325 million. Again in December 2013, we maintained $254 million of liquidity which included $116 million in cash and $148 million of unused borrowing capacity. Our year-end liquidity position along with our most recent equity raise of approximately $465 million allowed us to complete all of our previously announced portfolio acquisitions. We have approximately $400 million of unencumbered collateral as of the end of January and as shown on slide 17; it will allow us to buy NPLs with an estimated $725 million of UPB, assuming we are able to secure additional financing. At this time, we would like to open the call up for questions, operator.
Operator: Thank you. (Operator Instructions). Our first question comes from Mike Grondahl of Piper Jaffray. Your line is now open.
Mike Grondahl: Yes. Thanks for taking my questions. The first one is just on supply and the outlook there. Obviously it's significant, do you guys have any goals for the year of NPLs that you want to acquire? And is there a backlog or anything that you're sort of in discussions with today?
Ashish Pandey: Mike, Ashish here. We are evaluating the pipeline in excess of $2 billion of UPB in the near-term; some of that pipeline is in more advanced stages. We are optimistic that this quarter will provide us many attractive investment opportunities. As regards to your question on the goal, we do not want to provide a guidance at this point of time in terms of what's the volume of NPL that we'll acquire. But as you would have seen in the last year, we continued to ramp our acquisition volume and we expect to continue that trend.
Mike Grondahl: Okay. And secondly just a question, a competitor yesterday had a little bit higher vacancies than I think the market was expecting. And, but they did have a renewal rate on their rental portfolio of around 78%. Could you remind us what is embedded in your lease renewal rate?
Ashish Pandey: Sure. So, we have in our model is like 37% lease renewal rate, which will get you to like every property turning every second year. So, 75% number was actually pretty encouraging especially considering the concentration of properties. If we show the similar performance, we’ll end up having a turnover on the property every four year, which makes the material difference to the economics of the business model. And as you will have half of the turnover cost and half of the leasing cost then what is out there in the business model that we have presented earlier.
Mike Grondahl: Okay.
Ashish Pandey: Probably approximately 40 basis points unlevered and that’s what you had one to one leverage, it’s like 80 basis point of extra yield.
Mike Grondahl: Okay, great. And then next, could you talk a little bit about, you had an original timeline for performing [mods] for closure and short sale and then things falling into a rental portfolio. Is there any way we can go -- sort of get a sense from maybe your first acquisition 10 months ago or 11 months ago, how it’s kind of performing sort of the exit path if you will and sort of the initial returns you’re seeing?
Ashish Pandey: The performance based on our initial portfolio that we’ve bought and then we have some level of history has been in line with our expectations. Most of the resolutions that you have seen in the prior quarters were coming from those pools. And as you have seen we have like realized 97% on an average on the BPOs on the third-party sales and then on the refinance our numbers are 93% of current BPO which is almost 105%, 106% of BPO at the time of acquisition.
Mike Grondahl: Okay. And what about on sort of the initial rentals you’ve done, how was that sort of comparing to that initial 9.5% rental yield you’re talking about?
Ashish Pandey: Mike it’s a small number you know, so it’s not a representative sample, but the growth rental yield on the properties is that we have leased till there is 12.3% of our BPO at the time of acquisition. So that’s not acquisition base, it’s actually during the time of acquisition there, we pay enough, we were expecting it to be 12%, it’s higher than that. On the net rental yield most of our expenses are contractual and the expenses which are not contractual in nature will need to wait for some more time, it’s very difficult to make an estimate based on two months of performance of where those numbers would be.
Mike Grondahl: Sure, it’s pretty early. Okay. Thank you.
Ashish Pandey: You are welcome.
Operator: And the next question comes from Dan Oppenheimer of Credit Suisse. Your line is now open.
Dan Oppenheimer: Thanks very much. I was wondering if you can talk a little bit more in terms of the accounts (inaudible) it’s very helpful. How you think about the competitive environment in buying NPL since there are small players emerging out there at this point?
Ashish Pandey: Sure, so Dan we can think to aggregate NPL trading market into two buckets. First one will be we have sales less than $200 million of UPB share and that market has little bit more competition than the markets which is like $200 million plus of sales and more say in the range of $400 million, $500 million of UPB sold on every deal. You won’t see any new entrant in fact on the market where we operate, which is $400 plus million kind of market. We think that applies very, very robust in that particular segment. And the pricing we expect will remain at the levels where it is, we don’t see a reason that pricing will inch up from where it has been in the past just considering the amount of supply that we are expecting in that particular segment.
Dan Oppenheimer: So should we expect more of those large transactions including (inaudible) certainly I think that are seeing lower than another one for $183 million to UPB, should we expect to secure this transaction to the more of the significant ones?
Ashish Pandey: I think that would be a fair assumption. People have more comfort in dealing with certain parties when they are working on large acquisitions because certainly if you could close in your quality of closing is very important so that would be a fair assumption.
Dan Oppenheimer: And secondly just wondering in terms of your assumptions for resolution of loans, how is that changing as the deals that you are buying geographic distributions are you having different assumptions in terms of the timing what how that loan benefiting results and timing based on the mix of states where the loans are?
Ashish Pandey: Dan, the biggest parameter that will change our loan resolution probabilities would be whether we are getting less delinquent loans when we are buying these non-performing loan pools are not because they are easier to cure. Unfortunately we haven’t seen that trend happening right now in the marketplace, we are buying almost similar level of baked in delinquencies. But if delinquencies are lower in the pools that we’ll buy in future, you should expect theoretically higher modification share.
Dan Oppenheimer: Thank you.
Ashish Pandey: You are welcome.
Operator: (Operator Instructions). And our next question comes from Jade Rahmani of KBW. Your line is now open.
Unidentified Analyst: Hi, yes it’s actually Ryan Tomasello on for Jade. Just again in regards to the NPL pipeline you are seeing can you talk about that on a monthly basis as far as how much you are seeing per month, what percentage of that you are actually bidding on and your hit rate on that?
Ashish Pandey: Ryan, the supply volume in the market is close to $3 billion on a monthly basis that's what we have seen in the past and that's what we expect to continue in this year. I won’t like to disclose any more on what we have upon, and what we have won, just at this point of time, in the quarter.
Unidentified Analyst: Okay. Great and then as a follow-up regarding capital based on recent equity raise. Can you provide any guidance on when you would expect to reach, your targeted leverage ratio, which (inaudible) mentioned around 50%?
Ashish Pandey: Sure. So if you buy a $700 million more of UPB we will at that target level. We would be fully deployed with our expertise and we’ll be at one to one leverage.
Unidentified Analyst: Okay. Great thank you.
Operator: Now we have follow-up question of Mike Grondahl of Piper Jaffray. Your line is now open.
Mike Grondahl: Yes. Just a quick question on there is an NPL outlook for 2014, what would you think of 2015, the outlook there?
Ashish Pandey: I think 2015 should see a similar level of supply, I think we are somehow thinking that inventories depleting. If you look at HUD balance sheet at the end of December, they are probably 650,000 seriously delinquent loans which are just there on the HUD balance sheet, as of September of 2013. 25,000 loans sold by HUD or 30,000 loans sold by HUD, they are not going to make a difference. We expect that there is a long runway here as you know, but these volume levels to remain in the market. In fact, I'm hopeful that 2016 probably get similar to as 2014 and 2015 if not more.
Mike Grondahl: Got you, okay. And then……
Bill Erbey: Excuse me Mike. It's more a function of really our people in a position to sell. And take the hit as much as the amount of supply, the supply is pretty overwhelming.
Mike Grondahl: Got you. Yeah, I know it definitely seems like it. And then Ashish, do you have a formal dividend policy, when should we expect the first quarter dividend to be announced?
Ashish Pandey: We typically try to announce that in the third month of the current quarter. So you should expect that to be announced in next 15 days.
Mike Grondahl: Okay, great. Thank you.
Operator: And our next question comes from [Craig Small of Converse Point]. Your line is now open.
Unidentified Analyst: Hi, good morning. Thanks for taking my question. You mentioned in comments that we need rental portfolio to get I think you said $200 million before you can look at securitization. Is that right?
Ashish Pandey: That's correct, it's true.
Unidentified Analyst: And how long do you expect that to take is that of potential 2014 event, is that 2015?
Ashish Pandey: It should be end of 2014, early 2015 event, we will be there, we’re hopeful that we’ll be there with our rental portfolio.
Unidentified Analyst: Okay got it. And so that’s a big sort of tick up in low rates to rental properties that you expect this year, just sort of is that weighted towards the back half?
Ashish Pandey: Probably. The point is that loans which you have to go through the foreclosure process will take some amount of time. None of the state have foreclosure timelines which are 4 month or 5 months. So the foreclosure process itself is little bit lumpy and therefore we expect that lot more properties that we’ve bought in 2013 will be converted into rental properties end of 2014, early 2015.
Unidentified Analyst: Got it. And then just following up, do you have an average rental and average sort of BPO value on -- I know the rental portfolio is small now, but on what’s there now and/or an average sort of monthly rent for the portfolio?
Ashish Pandey: You should probably -- that value will range somewhere between $150,000 to $200,000 okay, until unless there is a geographic loss. And if it is California those numbers will be more, but in general if it is for California that number should be $150,000 to $200,000.
Unidentified Analyst: On the BPO value of the rental portfolio and so the average monthly rental of that just you were saying it was -- that’s the current BPO or the BPO as acquisition?
Ashish Pandey: That will be BPO as acquisition.
Unidentified Analyst: Okay. So the 12.3% you said is what I should be on that. Okay great. Thanks a lot.
Operator: I am not showing any further questions at this time and I would like to turn the call over back to the Company for any further remarks.
Bill Erbey: Thank you very much. Have a great day.
Operator: Ladies and gentlemen, thank you for participating today’s conference. This does conclude the program. You may all disconnect. Everyone have a great day.